Operator: Good morning, and welcome to the Silvercrest Asset Management Group, Inc. Third Quarter 2022 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. Please also note, this event is being recorded. Before we begin, let me remind you that during today's call, certain statements made regarding our future performance are forward-looking statements. They are based on current expectations and projections, which are subject to a number of risks and uncertainties and many factors could cause actual results to differ materially from the statements that are made. Those factors are disclosed in our filings with the SEC under the caption Risk Factors. For all such forward-looking statements, we claim the protections provided by the Litigation Reform Act of 1995. All forward-looking statements made on this call are made as of the date hereof, and Silvercrest assumes no obligation to update them.  I would now like to turn the conference over to Mr. Rick Hough, Chairman and CEO of Silvercrest. Sir, please go ahead.
Richard Hough: Thank you very much. And thanks for joining us today for our third quarter results. Volatile market conditions continue to affect Silvercrest’s assets under management in the third quarter of 2022. The firm’s discretionary AUM, which drives revenue, decreased to $19.4 billion as of the end of the third quarter from $22.5 billion as of the end of the same period in 2021. The firm’s third quarter 2022 revenue decreased year-over-year to $29 million from $33.5 million. Total AUM now stands at $27.4 billion.  The firm’s quarterly adjusted EBITDA was approximately $8.2 million, and annualized adjusted EBITDA run-rate of $32.8 million. Silvercrest’s third quarter 2022 adjusted EBITDA margin was 28.1%, a healthy margin in light of declining AUM and the associated revenue. Silvercrest added relationships during the third quarter and new accounts partially offset outflows for taxes and rebalancing. Silvercrest’s suite of proprietary equity capabilities have maintained solid performance and our sub-advisory relationships continued to add assets during the third quarter of 2022. And Silvercrest launched a Large Cap Value Unit Investment Trust during the quarter.  Silvercrest repurchased approximately 286,000 shares of Class A common stock for approximately $5.2 million during the third quarter. Market volatility and uncertainty create long-term opportunities that typically benefited the high quality of Silvercrest’s capabilities, and we look forward to more stable markets in the future.  On November 1, 2022, the Company’s Board of Directors declared a quarterly dividend of $0.18 per share of Class A common stock. The dividend will be paid on or about December 16, to shareholders of record as at the close of business on December 9. Scott will now go through the financial steps and then we'll take questions.
Scott Gerard : Great, thanks Rick. And again as disclosed in our earnings release for the third quarter, discretionary AUM as of September 30 of this year was $19.4 billion and total AUM as of the same period was $27.4 billion. Revenue for the quarter was $29 million and reported consolidated net income for the quarter was $5.6 million.  More detail about third quarter, again, revenue was approximately $29 million. That represented approximately 13% decrease over revenue of approximately $33.5 million for same period last year. This decrease was driven by market depreciation and net client outflows in discretionary AUM. Expenses for the third quarter were $21.9 million, representing approximately a 13% decrease from expenses of $25.3 million for the same period last year. This decrease was primarily attributable to decreases in compensation and benefits expense decreased of $2.5 million and general and administrative expenses of $0.9 million.  Compensation benefits expense decreased by $2.5 million, or approximately 13% to $16.3 million for the three months ended September 30th of this year from $18.8 million for the three months ended the same period a year ago. The decrease was primarily attributable to a decrease in the accrual for bonuses partially offset by an increase in salaries and benefits expense as a result of merit-based increases and newly hired staff.  General and administrative expenses decreased by $0.9 million to 5.7 million for three months ended September 30th of this year from $6.5 million for the same period a year ago. This was primarily attributable to decreases in the fair value adjustment to the contingent consideration related to the Cortina acquisition of $1 million and a decrease in trade errors partially offset by an increase in travel and entertainment expense. Reported consolidated net income was $5.6 million for the quarter as compared to $6.4 million in the same period last year. Reported net income attributable to Silvercrest for the Class A shareholders for the third quarter of this year was approximately $3.4 million or $0.35 per basic and diluted Class A share.  Adjusted EBITDA which we define as EBITDA without giving effect to equity based compensation expense and non-core non-recurring items, was approximately $8.2 million or 20.1% of revenue for the quarter, compared to $10.3 million or 30.9% of revenue for the same period last year.  Adjusted net income, which we defined as net income without giving effect to non-core and non-recurring items, and income tax expense, assuming a corporate rate of 26% was approximately $5 million for the quarter, or $0.35 cents and $0.34 cents for adjusted basic and diluted earnings per share respectively.  Adjusted earnings per share is equal to adjusted net income divided by the actual Class A and Class B shares outstanding as at the end of the reporting period for basic adjusted EPS and to the extent dilutive, we add unvested restricted stock units and non-qualified stock options to the total shares outstanding to compute diluted adjusted EPS.  Looking at the nine months, revenue was approximately $94.7 million, which represented a 3% decrease over revenue of approximately $97.8 million for the same period last year. This decrease was driven primarily by market depreciation, partially offset by net client inflows in discretionary AUM.  Expenses for the nine months ended September 30th of this year, were $60.3 million, representing approximately a 21% decrease from expenses of $76.6 million for the same period last year. This decrease was primarily attributable to decreases in both compensation and benefits expense and general and administrative expenses of $2 million and $14.3 million respectively. Compensation expense decreased by $2 million or approximately 4% to $52.9 million for the nine months ended September 30th of this year, from $54.9 million for the same period last year. The decrease was primarily attributable to decreases in the accrual for bonuses and equity-based compensation expense due to a decrease in the number of unvested restricted stock units and unvested non-qualified stock options outstanding, partially offset by an increase in salaries and benefits expense as a result of merit-based increases and newly hired staff.  General and administrative expenses decreased by $14.3 million, or approximately 66% to $7.4 million for the nine months ended September 30th of this year, from $21.7 million for the same period last year. This was primarily attributable to decreases in the fair value of contingent consideration related to the Cortina acquisition of $15.5 million, occupancy and related costs and trade errors, partially offset by increases in travel and entertainment expense, professional fees, and portfolio and systems expense. Reported consolidated net income was $27.5 million for the nine months ended September 30th of this year. This compared to $16.4 million in the same period last year. Reported net income attributable to Silvercrest for the nine months ended -- this year was approximately $16.8 million or $1.70 per basic and diluted Class A share.  Adjusted EBITDA was approximately $27.6 million, or 29.1% of revenue for the nine months ended September 30th of this year, compared to $30.4 million or 31.1% of revenue for the same period last year. Adjusted net income was approximately $17.5 million for the nine months ended this year or $1.22 and $1.19 for adjusted basic and diluted EPS respectively.  Quickly looking at the balance sheet, total assets as of September 30th were $205.1 million, compared to $229.3 million as of the end of last year. Cash and cash equivalents were approximately $67.4 million at September 30. This compared to $85.7 million at the end of last year. As of September 30th of this year, total borrowings were $6.3 million and total Class A stockholder’s equity was approximately $87.1 million as of September 30th of this year.  That concludes my remarks. I'll turn it over to Rick now for Q&A.
Richard Hough : Thanks, Scott. Look forward to questions. Thank you.
Operator: Ladies and gentlemen, at this time, we will begin the question-and-answer session. [Operator Instructions] Our first question today comes from Sumeet Mody from Piper Sandler. Please go ahead with your question.
Unidentified Analyst: This is Brian on for Sumeet. Just a couple of questions for you, first, outflows continued higher than we expected at $507 million in the quarter. I know you had a lot of tax-related outflows last quarter. Could you just tell us how much have leaked into the third quarter and if there's any uptick in sort of your normal flow profile?
Richard Hough : You know that the data on our flows is pretty lumpy for the high-net-worth audience and is not all that predictable. I can't characterize, it's too short a period of time. There were more tax payments in the third quarter, for those who pay in the third quarter, as you might expect. I can't characterize that in terms of trends, though, we did have an uptick, as I said in new relationships, some of the outflows were rebalancing. So I really have no more color for you beyond those observations.
Unidentified Analyst: Got it, got it, thanks. And then a question on modeling just for comp expenses. How should we think about the comp ratio for the full year and the true up you expect in the fourth quarter? Should we expect to see the full year accrue to that 55% level or given the revenue dynamics, can we see that come in higher than that this quarter?
Richard Hough : Well, we accrue for 55%. There's no way to predict what's going to happen in the fourth quarter. That's so heavily influenced by markets. A lot of our comp is directly determined on a formula basis. So it does trend down with revenue and markets. The nine months of last year compared to the nine months of this year in terms of revenue is down, I think, 3%. So that's not a dramatic change. We can also end up with performances potentially, in the fourth quarter, which adds some volatility. So at this point in time, there's no good visibility into how we will compare to the 55% when we ultimately true things up. Some years, we've been a little below. We were quite a bit below last year. Some years, we've been spot on or just a bit above. We've always hovered around it. At this point in time, I don't see a material difference to what we've seen in past years.
Unidentified Analyst: Okay, great. That's helpful, thank you. And then yeah, last one for me. We like seeing you guys take advantage of the dip with a solid level of buybacks in the quarter at over $5 million. So how should we think about your appetite just going forward and how you prioritize the repurchases? Is it more of a regular cadence planned ahead? Or should we expect you to be more opportunistic, depending on the market environment? Thanks.
Richard Hough : Yeah, I think given the amount that is left, that we have set aside for buybacks, we have stated very clearly that we wanted to get that money to work in repurchasing shares. Obviously, in an environment like this, it's more of an opportunity to do so. And since we're committed to it, you can expect to see more buybacks going forward. We've been active in the market as you saw, we are sensitive to price of course, in the use of shareholder capital, but at current levels and below, we've seen it as still having significant value for shareholders to treat them in this way. 
Unidentified Analyst: Great, thank you.
Operator: Our next question comes from Sandy Mehta from Evaluate Research. Please go ahead with your question.
Sandy Mehta : Yes, so good morning, a couple of questions. Do you have a pipeline or a flows number in terms of the actionable pipeline?
Richard Hough : I'm not sure what you're asking to me. What line?
Sandy Mehta : The actionable pipeline? 
Richard Hough : Oh, the actionable pipeline? I'm sorry. Some of the audio, in fact, the last call or two is just a touch fuzzy for us in this room. So I apologize if -- we're just listening very hard. So yes the actionable -- 
Sandy Mehta : No, no problem.
Richard Hough : Yeah, so the actionable pipeline is $1.43 billion. This quarter, that is for US value, US growth, international as well as OCIO. That has come down from what we announced last quarter. The primary reason it's come down is because of wins. So that's good. The pipeline remains strong. But the wins that we had recently have drawn that pipeline down a bit. We would expect that, because as you know, we define the pipeline very, very tightly as invite-only RFP, invite-only searches. And we're in the final, so we have a high hit rate on that pipeline.
Sandy Mehta : And the second question is, could you comment a little bit further on this, the launching of the Large Cap Value Unit Investment Trust? What is the opportunity in that? And also, value as an asset class, value has significantly outperformed growth this year and it's held up in a bear market as it should. It doesn't always but it has this year. Does that help you in terms of marketing or are you seeing more interest because of that? Thank you,
Richard Hough : You know, that pipeline, for US value has actually come down just a touch but again, that's because of wins. We are looking for long-term partnerships in working with our consultants. I don't -- I can't say that the environment of value outperforming growth has meant an increase in activity there recently. The outperformance of growth versus value was so sustained and so long well over a decade as you know, that it takes a while I think for consultants and allocators to shift their attention towards the thing that has been working lately.  But again, we don't necessarily want to be getting investors just because they've noticed the asset class starting to perform on a relative basis. We'd much rather than coming in for the quality of what we're doing, the risk management of what we're doing, the preservation of capital, the outperformance on a relative basis, which we've always had. I do think on the margins, it will help if it is sustained. But I can't say I've seen that yet.  With regards to the Trust, that's just a lot better format than setting up a mutual fund. And when you have a capital that is pulled in that way, a vehicle for investors where that's a useful way to cut, get exposure into our strategies. It just provides another avenue for growth. And we can open it up to, of course, other strategies. But we're starting with large cap value and I expect that we'll have mandates in the fourth quarter to get that going. And of course, once you have capital that provides you more of an opportunity to grow into the future.
Sandy Mehta : Great, thank you so much. 
Richard Hough : You're welcome.
Operator: Our next question comes from Feddie Strickland from Fig Partners. Please go ahead with your question.
Unidentified Analyst: Thanks. It's actually Danny, they never asked the company but anyways, good morning Rick, hi.
Richard Hough : Hey, good morning. How are you? 
Unidentified Analyst: Good. I'm good. I'm good. So I was just wondering, I know you talked about the overall actionable pipeline. Can you speak a little bit specifically to the OCIO business and just kind of what's going on there both domestic versus international? I know you have some European clients on-boarding and was also just curious if there's more of those in the pipeline?
Richard Hough: Sorry, you were on mute, as we were listening. So the European and clients are not OCIO, they are wealthy families that we're talking to. We've always had exposure to Europe and Switzerland, Netherlands, Germany, significantly. I think you're referring, recently we were talking to Polish families as a result of Russia's invasion of Ukraine, but that's not OCIO unless they were just going to be an enormously large family office. So that's a traditional wealth management relationship where people are looking for exposure in the US dollar and US markets and diversification away from Europe for structural reasons.  There's more to come there, we're talking to multiple families. But I don't tend to distinguish that a lot from the US market. We've always kind of had a global footprint. It just happens to be growing, which I do like, and ultimately, any new client means the potential for new referrals, which is exactly what's happening in that particular case. With regards to OCIO, that is largely a US business. It's certainly where our focus is within the pipeline right now. The actionable pipeline for OCIO is almost $700 million, just shy of that. I think its $670 million or thereabouts of that $1.43 billion total pipeline. So it's a substantial part of our total pipeline of potential new business.  The amount of AUM within the OCIO business has come down a bit with the markets as you might expect, so it's been it's been hovering just below a billion dollars. We were well over a billion dollars before the markets came down. So hope that provides enough color, we should expect to hear whether we've won a couple of mandates that were quite close or in the finals very soon. So that should happen in the fourth quarter.
Unidentified Analyst: Got it and appreciate the clarification on the European clients there.
Richard Hough : Sure.
Unidentified Analyst: And was just curious to what you're thinking with regards to the dividend are more dividend increases possible or do you prefer to spend retained earnings elsewhere? You know, are you are you more focused on the buyback right now or is a dividend increase possible, I guess it was?
Richard Hough : Yeah. So ultimately, the amount of cash flow that goes out, the pay ratio is important to us. And we watch it when we're determining our dividend policy. We've long said we think it's important to pay our shareholders who are holding the stock on a very regular basis with a meaningful dividend and to really increase it in a way over time that that can be sustained even with much more dramatic pullbacks in markets than we've had this year. And our dividend is sitting at a level where that is in fact, the case. As you know, we increased it last quarter, we will continue to do so assuming the revenue and the cash flow of this firm can continue to support it.  We don't have a dividend target per se. I think it's at a good level right now. It pays quite well. And so we'll just assess that next year. The pattern, if you've looked at it, is basically an annual increase. Whether we do that or not next year, it kind of depends where we sit, I can't predict that, of course. The buyback was approved well over a year ago. It'll be, I think two years, come like second quarter or end of the first quarter I can't remember which, next year. And so you know, I haven't been necessarily refilling the kitty since we announced that we haven't even spent what we have. But obviously we've been accruing more cash since we did that.  If our stock continues to be relative value, which it is, and we don't have a use for cash on appropriate acquisition or other investment, we will reassess that, depending where we are with the current buybacks that we've been executing. As the first caller asked, what -- are we going to just steadily buy back, what's the plan? I've committed to getting that that money to work so you can expect we will continue to be active in the markets. But I haven't necessarily -- I've set aside the cash, already did that. So that is another thing I will look at next year, around the same time that we made the decision originally. 
Unidentified Analyst: Got it. And then just one more question. Just thinking about the pricing for investment firms under your longer term radar, how much has volatility benefactor there for those companies? And do you think that that's changed their calculus at all on whether or not they would want to look for partners?
Richard Hough : I do think the market is changing a bit in two different ways, that's a great question. I don't get to talk about this very much. But I do think it's been clear how I felt about the acquisition market as well as the number of firms that would be compatible fit well with Silvercrest and its smaller than then than one might think when you're looking for an ultra high net worth business. That's run well, that we feel we can organically grow, that is culturally compatible, and is in geographic area that would be desirable for our brand.  I'm noticing two things. One is that the deals that are getting done in the wealth management space are undergoing more scrutiny by buyers for a couple of different reasons. One, obviously, the tailwinds of low interest rates, and a bull market have changed the dynamics. It's a lot harder to make the financial engineering work or to be confident in that financial engineering over a sustained period of time, especially when some buyers are using meaningful leverage against EBITDA, which I never thought was all that prudent in this business at the level some buyers were going. So that's number one. So we're seeing more earn-outs which we've always done in those deals. We're seeing a much closer scrutiny of the true organic growth of companies, which is much lower than I think many market observers understand in this business. And I'm seeing a bit more prudence around whether a company can organically grow in the future.  On the selling side, the same thing is happening, but it does put more strain on businesses. A lot of smaller companies we look at are eating a lot of their economics, if not all of it. Lowering revenue, puts constraints on the business and raises into question the sustainability of being able to invest for future growth, which in this business, at least on the wealth side means more bodies. So at the margins, I think that could help. I haven't seen it yet though, to be honest. Again, part of that is how selective we're going to be about the right fit for this company in order to grow into the future.  I am having conversations as I always have said I have and there were opportunities for us. I do get the sense that might be a bit moving our way but it's a sense, it's something I can't put my finger on it in a really firm way. Certainly asset management, which comparatively has been a bit out of favor, certainly has come down even more so as compared to wealth. For obvious reasons, it's just much more leveraged to the market and much more sensitive to performance. Thankfully, as you look at our company, our equity performance across the board, whether you're looking at growth or value, has done extremely well.
Unidentified Analyst: Got it. That's really helpful, I appreciate all the color. Thanks for taking your question.
Richard Hough : Absolutely.
Operator: [Operator Instructions] Our next question comes from Chris Sakai from Singular Research. Please go ahead with your question.
Chris Sakai: Hi, good morning. 
Richard Hough : Good morning.
Chris Sakai: You mentioned you had an uptick in new relationships. Can you comment on how many you added?
Richard Hough : Yeah, I normally don't comment, Chris on how many, I'll just say it was several.
Chris Sakai: Okay. And then can you provide some color on the environment out there for adding new relationships? What do you guys see?
Richard Hough : So for us, you know, it's a referral relationship business, and it's lumpy. It's -- I've never reported a pipeline, for example, for the wealth management business as a result. For one thing, it's extremely hard for us to measure a pipeline that we have a lot of confidence in terms of it ultimately resulting in business. It's a much longer tail. In the conversations with most families, we can be talking even to some relationships for a couple years or more, until something is realized. So just the fact we're talking to family is not really enough for me to build a pipeline, unlike the institutional equity business, where we have, there's a process driven by consultants or RFPs, by professional allocators and we can very clearly measure where we stand and the likelihood of us ultimately gaining business, we just can't do that with wealth. And it's extremely hard to characterize. I can tell you that generally speaking, periods of disruption and volatility in the markets do have wealthy clients starting to talk to their friends. That is to say, people who could refer business to us about what's happening and what's happening in their portfolios, and high levels of client service, our ability to talk to our clients, reach out to them, help them understand their allocations, why we're positioned the way we are, what is happening in the performance of their portfolios in a proactive way, helps distinguish the relationship as compared perhaps with a large bank or brokerage, or maybe even a competitor who's not doing that. Those are very important things to high-net-worth clients.  So these volatile markets is an opportunity not just for us to perform well but for us to help our clients with regards to the softer things in the business that really do matter in a relationship. And our experience, at least coming out of the global financial crisis and periodic disruptions is that these do have people looking around and thinking about how their wealth is being managed. And ultimately, it does lead to an increase in business, it doesn't necessarily happen at the time of the volatility. It tends to be once the markets come back on an upswing, there's more comfort in the economy, etc.  So if I'm going to speculate about that, Chris, I would say that there's -- we've got to work through this for a while before I really, really see that happen. But again, it's a lumpy business without a pipeline, so pretty hard to characterize.
Chris Sakai: Okay, thanks for that.
Operator: And ladies and gentlemen, with that, we'll be concluding today's question-and-answer session. I'd like to turn the conference back over to Richard Hough for any closing remarks.
Richard Hough : Thanks. I just want to show my appreciation here and thank everyone for joining us for our third quarter call. I appreciated the questions. I was able to give some pretty good color as compared to some other calls. And look forward to talking to you all at the end of the fourth quarter. Thanks.
Operator: And with that, we will conclude today's conference call. We thank you for attending today's presentation. You may now disconnect your lines.